Operator: Greetings ladies and gentlemen and welcome to the first quarter 2009 financial results for Uranium Resources. (Operator Instructions). It is now my pleasure to introduce your host, Ms. Deborah Pawlowski, IR for Uranium Resources. Thank you, you may begin.
Deborah Pawlowski: Thanks, Jen and good afternoon, everyone. We appreciate your time today and your interest in Uranium Resources. On the call today is President and CEO, Dave Clark; Executive Vice President and Chief Operating Officer, Rick Van Horn; and Tom Ehrlich, the Chief Financial Officer. Dave is going to provide some comments regarding the company and today's release as well as the outlook, and Tom will then do a brief review of the financials. After that, we will open it up for Q&A. If you don't have the news release, it can be found on our website, which is uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and the Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release as well as in documents filed by the company with the Securities and Exchange Commission. You can find those in our website, where we regularly post information as well as the SEC's website, which is sec.gov. So please review our forward-looking statements in conjunction with these precautionary factors. With that, let me turn it over to Dave to begin the discussion. Dave?
Dave Clark: Thanks, Debbie. Good afternoon, everybody. Hope you’re enjoying a nice spring day, it’s definitely one here in the east. On the March call, which was only a couple of months ago, I made the statement that I think that 2009 has the chance to be a very good year. Even though that was only a couple of months ago, there is now lot of positive developments, which at least for me, reinforces that confidence that indeed this can be a very good year. I really view this as an extension of that conversation. I’m not going to go back and revisit anything or very much of it. So what we discussed is basically our overall strategic plan, which has been for the last couple of years become a 10 million pound producer. We talked about the need to really focus on our Crownpoint uranium project, which is a NRC-licensed project to produce up to 3 million pounds per year and then we want to build our reserve base to 200 million pounds to 300 million pounds overall to [see through] that plant. It's also obviously a time of stressed economy and uranium market is under a lot of pressure. What I want to do over the next couple of minutes is really add clarity to that plan, talk about how we plan to increase that reserve base and how we plan to resolve the issues that really brings New Mexico into production. I will talk about that in three areas: First, market observation; second, New Mexico developments; and third, I'll talk about Texas. As far as the market and economy as a whole, the rally over the last couple of months would suggest anyway that the economy may be firming, if not heading for recovery. That's the only subject to beat, but it’s far better than the free fall, which we had bottomed out in March. I think the uranium market has also been in forming a bottoming process here. I think there are reasons for that. At $40 a pound, which is where it bottomed out, there is economic incentives for producers to go out and buy and support this market not just because it supports the spot, but you are now getting to the cost of production issues and before when the market was extremely high or extremely low, $40 over the last couple of years, it didn't make sense to a lot of producers to step in and buy to cover on the spot market since they deem more economic benefit by selling their own production. There is also the added benefit that the long-term price came down $5 in the last month, so it depends on that as well. The other big development in the last couple of months is there has been a number of ageing utility investments in the mining industry, in both Uranium One and Denison. I think this is confirmation that at least from the demand side of the market, they are concerned about long-term supply and the agents are only locking up supply of more than US utilities are. I think it is confirmation that overall the long-term fundamentals in the uranium market are very strong and that at current prices, it’s going to be reloading of the spring and lead the next price cycle. We also talked last time about the affect of the economy on the nuclear renaissance, would that hinder reactors? We've seen a little bit of that in US, but certainly not as much as it could have happened. We haven't seen a slow down in Asia at all. As far as coal itself since that last call, the EPA has come out and suggested they are going to put carbon dioxide, one as a pollutant, which will give them the ability to regulate that. There was the fly ash spill in Tennessee, which promises new regulation and higher costs for coal. There is a suggestion that cap and trade will come under reconciliation, which will make it easy to get through Congress. And there’s still the Obama’s statement from the past that's go ahead and build the coal, it will bankrupt you. So everything seems to be moving still very much against coal. That's important for you or I, not just because it is promising for nuclear over coal, but it affects us in New Mexico as well because Navajo's biggest economic project on the books is Desert Rock and they are having issues themselves as well with the anti-coal movement. So, long-term the fundamentals are strong. Again I think this is just setting the spring, pushing them in spring to the next price cycle. And we as a company are trying to use the current market conditions to implement our plan, which is basically to increase our reserve base and resolve the issues. It's strategically far better to acquire reserves when (inaudible). In New Mexico, again our long-term plan really is to increase our reserves from the 101 million pounds we currently have up to that 200 to 300 million pound level and become that 10 million pound a year producer mainly through New Mexico production, which will suggest we need to resolve the issues that have blocked us so far. So first, look at the building of the reserve base and what we have, how we are doing that, and then look at how we plan to resolve the problems in New Mexico. Again, we have a 3 million pound a year license in the NRC to produce at Crownpoint. That gives us a great competitive advantage as far as acquiring reserves. We are years ahead of anybody else who if they plan to ISR mine in New Mexico, will have to go through the NRC process. It took us seven years to get that license. We spent the last couple of years also spending a lot of time, effort, and money evaluating our database at Crownpoint. Information has been acquired over the last 20 years by all the mining companies out there. Now it's really becoming the time when we can get the value out of that database. We know where the reserves are, we're evaluating the best prospects once it will build our reserve base with low-cost ISR reserves that can be fed through the whole process of Crownpoint project. Currently, we are engaged with a lot of companies in New Mexico, just looking at varying options we'll have to acquire reserves. All that I can say is at this point the environment is very favorable to implement this part of our plan. As far as how do we become a major New Mexico producer, again obviously we need to resolve the issues with the opposition as well as the Navajo. The primary one in the past has been the legacy problems from past mining. As Navajo said in the past that we won't be for any new mining until you clean up the [vast dumps] from the past mining. This really is two separate issues. There is an old problem of legacy mining that was done before environmental laws were passed. Nobody denies these. It’s simply a question how much needs to be cleaned up and how do you clean it up. But then there is a safety of future mining. Again you here a lot of people talking about we certainly make the case that with environmental laws with ISR mining in particular it can be done in a much more environmentally-safe manner than it was in the past. What the downturn of the economy has done for us is it is making a distinction between these two and allowing us to complete those. So, there is a recognition of the legacy problems in this environment, and future mining can be done in an environmental safe way. Future mining can be also part of the resolution to the legacy problems. What we are seeing in New Mexico is not just moving behind the scenes any more, we're seeing a lot that's taking place publicly. Last week there was a task force in New Mexico where everybody was at the table: the Native Americans, the industry, legislators, environmental groups that were in opposition, state and federal regulators, local officials, again everybody was at the table and you really can't resolve issues until you get everybody to sit down and talk about. It was a very constructive meeting. (inaudible) had suggested that political stands are shifting. Another evidence of that is Governor Richardson was in [Grants] for a public meeting couple of weeks ago. He made a public statement he says he is in favor of uranium mining as long as it can be done in environmentally safe manner. Certainly something we agree with. Governor Richardson, in the past has been when he was a Congressman supported the uranium mining. He has really not been in the forefront lately for him to come out and say that suggests that it’s not just hearsay or us saying that the political stands are shifting. We are seeing evidence of that. Environmental safety is the issue that has to be done right, and we certainly believe that is the case. In the past, a statement like Governor Richardson's would be one that would block mining. We agree for uranium mining as long as it can be done safely, but we don't agree that it can be done safely. With the current economy, I think that's back on the table. And there is serious discussions on all sides on how can this be done safely, because the economic benefits are important to us. We are seeing a lot of interest by government agencies. I talked last time in March, about what Sandia National Labs was doing. They’re looking at using monitored natural attenuation to see if it could be applied to solution mining, ISR mining. We’re working with Los Alamos Labs to look at some of our mine reserves to evaluate the effectiveness of the current base by an evaluation process. We are working with United States Geological Survey on giving them data from the mobile test pilot with ISR in the early 1980s. So they can look and evaluate and see what the effectiveness is over 30-year period after it has been cleaned up. There is a lot of work and study being done on the federal level, and we’re taking lead as far as helping make sure that that’s pointed in a way that not only advances the science, but can be done in a way that also helps us verify the science and be able to communicate back to the public. Certainly the task force helps. Changing political landscape also helps as does the work we've been doing with Navajo. We are doing a characterization of our Section 17 at Churchrock to a property that was extensively studied as part of NRC licensing process. We think it will verify what we already know but it will demonstrate to Navajo that we are not trying to hide anything from them, and that's a manner and the spirit we've engaged with them, and also gives us a chance to work with them as thus the recent decision by Tenth Circuit Court that affects our UIC, Underground Injection Permit process. What this decision really means is it states that EPA and not the state has jurisdiction to issue this permit. It's something that's been important to us, because we already have the state permit though it was, the case which can be made that if we won, we get the permit sooner. If we recognize EPA, we have to go through their process which could be later. Where this stands is we have till June 1st to file what’s called en banc review instead of just a three-judge panel, you throw it back to the full court. The opinion as it was written suggests to us that's what this three-judge panel suggests that we do. We had 90 days from that issuance date to take it directly to the Supreme Court as well and that would be a mid July date. Our interest really is just to acquire that permit, UIC permit, from either the state or the EPA and hopefully in manner that is acceptable to Navajo and why is that important? This decision really affects only Section 8, which have 8 million pounds on it. A large percentage of our reserves are on in Indian country and the vast majority of reserves that we acquired, the low-cost ISR mining, were also affected by Indian country issue. But we want to really resolve this issue in a way that benefits us both, not just to URI, our shareholders, but to Navajo as well. They've had their own problems with the EPA. As I said earlier, they have the Desert Rock coal plant. EPA has filed. They haven't issued a permit for the Desert Rock plant. They filed with the court asking if they can rescind that permit basically study it some more. That's certainly not a positive development for the Navajo. It is something that they are relying for jobs, for revenue. It's an important consideration for them. They have been basically making the same arguments for Desert Rock as we've been making for uranium, which is, this is not coal mining in the past. It can be done in environmentally safe way that the economic benefits from this outweigh the environmental issues. We have been making that same argument with uranium, and it resonates back to them as far as what they’re trying to do at coal. With the current economy, I'd say that we are moving more towards adding common interest with the Navajo versus moving the other way. We want to mine uranium in an environmentally safe way and they certainly want to get to the economic benefits from uranium mining their own reserves if it can be done in the same way. As for the UIC permit, we will advance in a manner that with the courts or directly by filing for permits that can get us that permit, and we also want to do that in a way that it doesn't handicap the process in the future not just for us, but for the Navajo down the road. If they change the mind and they want to develop their own reserves, since they do come under Indian country, it will be part of the EPA's jurisdiction. We'll work with them as far as is something that can benefit both. As for Texas, on the March call we thought we'd have 25,000 pounds or 30,000 pounds of remaining production at Kingsville Dome. We produced over 31,000 pounds in the first quarter. Through April and May, we've already produced about 5,000 pounds. We don't expect it to continue much longer, but as long as it's economically viable, and give us profit, we'll continue to do so. We've really shifted our focus to restoration activity, which I talked about extensively in the March call. We can be far more efficient and cost effective when it is our full-time focus and not divide the attention with producing pounds. We mentioned briefly in release that we have the ability to process the byproduct material; this is really sludges build up in our evaporation ponds over the last 20 years production. We know there's uranium in the pond, whether it can be commercially profitable to produce that is one consideration. What we do know is, there's probably enough value in there to at least cut the cost of reclamation on cleaning up those ponds. So, that will help us lower our reclamation obligation in ponds or possibly give us profitable operation, if we can do it in a commercially viable manner. We are getting close to the end of the injection phase of the hydrogen project, which we are doing with Texas A&M at Kingsville. Part of this process was to look at the technical considerations in injecting hydrogen into groundwater. Now, we've been successful in that; we do have evidence of reduction around the injection well, but the main part of this experiment is really to see if we can enhance natural bioremediation by adding hydrogen to the aquifer, which allows the bacteria in the aquifer to grow and they are the ones who do the reduction. So, this is also time experiment not just a result of direct injection. Over the next two months we'll be doing water samples out on the Kenedy Ranch, which is a large ranch. It has been an exploration target for URI for a long period of time. The industry released results of the NURE, the Natural Uranium Resource Evaluation study, which was the early 1970s, within the past month or so. What that study showed was there was lot of uranium in well water before there was mining in South Texas. The survey was done back when looking for Uranium anywhere in United States was a priority. Thousands of wells were analyzed. Kenedy Ranch was not one of them, but it is a good exploration tool, so we're basically replicating what NURE did in 1970s on the Kenedy Ranch. I believe its 165 wells, and if there is uranium on the property or any of those wells we should get some indication on that which is a very low-cost efficient way to do exploration. As far as Texas itself, I said on the March call, there is many valuable pieces that can be brought together to build profitable production company in Texas. We've been engaged with all the parties in South Texas to have those pieces. We're currently evaluating all the information we've gained in what is the best course of action for us. As I said earlier, do we want to rebuild our Texas assets, if that opportunity is there, do we want to monetize assets or are we a buyer or seller? The process itself has gained a lot of interesting options for us, but I'd say, at this point, it's too early to conclude which way we want to go. In conclusion, there's a lot of promising developments in New Mexico. I think, again, this year can be very, very good year for us, not only to build our reserve base, but to head towards resolutions of this problem. As far as Texas, we will find out this year whether we want to rebuild Texas. We'll monetize some assets there. The focus of the company really is New Mexico, that is the opportunity, but there is also economic benefit's to be gained from Texas. So with that I'll turn it over to Tom for the financial results review.
Tom Ehrlich: Thanks Dave. Our production in the first quarter of 2009 totaled 31,600 pounds. Since October of last year, our sole production source has been from our Kingsville Dome project. As we previously announced, we had shutdown our Rosita and our Vasquez sites. So our production costs for the quarter came in at $25.23 a pound, and these are made up of operating costs of just over $20 a pound and our DD&A cost of just over $5 a pound. Our DD&A costs are down dramatically from prior production year's as a result of the write-downs of uranium properties we saw in the third and fourth quarters of last year, taking those costs and running through the income statement last year, eliminated the base for which we use for a depletion base for our production. At the end of the first quarter, we had just over 40,000 pounds of uranium inventory, which was produced at an average cost of $22.64 a pound. We utilized inventory by making uranium sale at the end of April of about 36,600 pounds. The average price of the deliveries, again made at the end of April, were $48.85, resulting in revenues of approximately $1.8 million, which will be recorded in the second quarter of this year. Our sales revenues in the first quarter of '09 were $1.4 million. We sold 27,600 pounds, with an average sales price of $51.51 a pound. Looking at our costs of produced uranium sales for the quarter, the direct costs of uranium sold for Q1 '09 was $1.1 million or just under $40 a pound. The direct operating cost-to-sales were $31.50 a pound, and the depletion and depreciation cost-of-sales for the quarter came in at $8.38 a pound. Our royalties and commissions expense for the quarter was about a $140,000 or $5.03 a pound, representing about 9.75% of our sales for the quarter. Our cost-of-sales also included $182,000 of impairment provision related to the write-down of the carrying value of the company's uranium properties during the first quarter. Our corporate expenses, including general administrative costs were $1.5 million for the first quarter, representing a $1.3 million reduction from the same quarter last year. As, we've announced, we've implemented significant cost cutting measures that began in the fourth quarter of 2008, which have been realized in reducing our G&A costs this year when compared to last year. Moving on to our sources and uses of cash, our cash balance at the end of March was $10.1 million. During the quarter we used $1.6 million of cash in operations. Our uranium sale in January brought an operating cash in the beginning of the quarter. And for the balance of the quarter our operating activities include the building of inventory and more towards restoration and reclamation activities in our South Texas projects which consumed about a $0.5 worth of cash. Our first quarter of 2009 CapEx for uranium property, plant and equipment was significantly reduced from what it was last year. We spent about $200,000, down from the $4.8 million in the first quarter of 2008. The reduced level of capital costs incurred for uranium projects again corresponds with our decision in the fourth quarter of 2008 to defer future wellfield development at both our Kingsville and our Rosita projects. During the quarter we also increased our restricted cash by $43,000 to back the collateral for South Texas financial surety obligations and we also paid $42,000 in financing and capital leases during the quarter. Our operating cash, as I said, at the end of the quarter was $10.1 million. At the end of April 30, our operating cash was about $9.4 million. Since at the end of the quarter, we've again, continued with our production activities and we expect to do so provided that our production rates continue at or above our breakeven targets. As I noted earlier, our uranium sale at the end of April generated $1.8 million in receivable, which will be converted to cash in the second quarter. Upon the cessation of our production activities, our monthly expenditures are currently projected in the $500,000 range. We are continuing to review additional cost reductions, as well as revenue generating strategies, as David mentioned, in order to minimize our monthly net cash outflows. The only other thing is, during the month, we had mailed out to all of our shareholders the proxy statements for our Annual General Meeting, to be held on June 3. We encourage everybody to get their votes in, and call-in if there are any questions on those.
Operator: (Operator Instructions) Our first question comes from the line of [Charles Smith with SG Management].
Charles Smith - SG Management: I have a few questions that are related to the Tenth Circuit decision. Considering that the Supreme Court only takes about 1% of all cases that are applied for, for review from the lower court, is there a reason why you are not going to apply for the EPA permit right away?
David Clark: As I said, we are going to proceed in the manner that we'll get that permit as quickly as we can, and that's certainly not out of the question. There is a consideration that if you apply for the permit, you may be standing in the court case, but we are evaluating, and again, the best manner to move forward, with a lot of consideration at the moment.
Charles Smith - SG Management: How expensive is it to apply for an EPA permit and what's the duration of time that the EPA generally takes in order to resolve these issues?
David Clark: It is a one to two year process. We have actually filed; filled out the application and filed for Section 17 and we are pretty much in position to do that for Section 8 as well at Church Rock before the court ruled last time in 2007. This part of the process is not time consuming to file the permit application, the EPA will then go through to ask questions to verifying that everything in the application is quite correct, and then you enter public process which is where it gets more expensive.
Charles Smith - SG Management: So, basically you'll wait till the judicial process is done, the application to the Supreme Court and everything else and then at that point apply to the EPA?
David Clark: No, I'm saying that at all. What I am saying is, we'll proceed in the manner that's as we think that will get us the UIC permit in a shorter period of time. So, I am not ruling out anything at this point in time. Again, part of what we are trying to do is, build a relationship with Navajo so to communicate with them. We have till told June 1, to make a decision on whether to apply for en banc on that. The initial comment was that the Supreme Court only takes 1%, that is correct, but they tend to take a higher percentage of Indian country issues. And this is a part of the reason for carrying an en banc, in the opinion itself, if you read the defense. The other Circuit Courts disagree with the Tenth Circuit ruling on this and in other cases and when you have a disagreement between Circuit Court, that's certainly an area where the Supreme Court gets involved.
Operator: Our next question comes from the line of David Snow. Please proceed with your question.
David Snow - Energy Equities: Could you bring us up-to-date on what you are seeing for the outlook for the uranium price?
David Clark: Again, I think we're in a bottoming process, David. Yes, that's been pronounced in the way we buy chemical and (inaudible) AS I think prices are moving higher, I think that's certainly a possibility. What we are facing in 2009, not just from liquidation and the fall of investor physical inventory. We've got the Lehman Brother panel out there as well now. But you had a time period where US utilities and foreign utilities were pretty much covered for 2009 and 2010. While we're moving through 2009, we see, as I said, a $40 increased producer interest in buying pounds. But I think you can certainly continue to move up from here. It is still a thin market. It wouldn’t take a lot of demand to drive it higher, but that's just the state. Let's say, it can do anything.
David Snow - Energy Equities: Okay. I guess you said that this decision affects only Section 8?
David Clark: Again, Section 8 is land that we privately own. Is it a question of it being Indian country or not. If it is Indian country, then the US government EPA issues the permit. If it is not an Indian country then the State of the Mexico issues it. It's simply a jurisdictional dispute. Section 17, at Church Rock, was one where the company had to give up the fight on whether that was Indian country or not several years ago. So, that's deemed to be Indian country. So, that would come under the EPA with Section 8. If we win the case in the end, it would come under the state.
David Snow - Energy Equities: So, you are really trying to fast track a lot of the in-situ development. I guess the two years that you spent in doing the study, what percentage of our potential pounds out there are amenable at this point do you think to ISR?
David Clark: Good question. When you get to the west side of the district, most of it is ISR. And certainly Church Rock, Crownpoint, one where we had license of 27 million pounds. We don't have the lease because of the BIA recognizes the Indian or the Navajo ban. So everything to the western side tends to be ISR amenable, everything to the eastern side, when you get over to (inaudible) tends to be conventional mining.
David Snow - Energy Equities: So, the western is about half of the total?
David Clark: I have to get a breakdown on that. West Largo, which is west of Roca Honda, appears to be ISR amenable, and certainly anything you can conventional mine. So, half is probably a good number or more.
David Snow - Energy Equities: Okay. So, you think that you can bring the Indians onboard with this ISR technology, I guess is what I am hearing you say and jointly pursue that as a way to move the logjam forward?
David Clark: We're not saying we can conventional mine as well and again there is no regulation when conventional mining was mostly done in the 50s and 60s and even the early 70s. EPA wasn't formed till 1971, but it's an education process. Uranium mining in the future is a lot different than it was in the past. Certainly, when you look at the environmental footprint and effect of ISR mining, you don't end up with tailings piles and part of that is a concern once you bring it to the surface and its there then you have to safeguard it for period of time. There are issues with old conventional tailings as well, but it is all about safety and demonstrating the Navajo's future mining can be done safely be it ISR, be it conventional mining. We have the NRC license for ISR, so that's why we are pursuing a (inaudible) project, as well as Churchrock.
Deborah Pawlowski: Operator let's go on to the Paul Stouse.
Operator: We've Paul Stouse from Rice Voelker.
Paul Stouse - Rice Voelker: I just had one quick question on the work that you guys are doing at the Kenedy Ranch. I think you said some of it, but I think, you said, that you guys are testing some wells there to see if there is sufficient uranium there. I want to know, how long that would take to test those wells and who's paying for that testing. Is that something you guys are doing for your own account or is that sort of contract work?
Dave Clark: What we proposed at the Kenedy Ranch, again as I said in the last call, if you had uranium in your ground water, you want to know it. So they have never done that survey. Is it safe or is it not? If it certainly has a lot of uranium in it, and its economic (inaudible) then they need to know about it. What we proposed at the Kenedy Ranch was we'll go in there, we'll pay for the survey. So basically what you are doing is you are testing for uranium, the best indicator of uranium ore is radon, so you test the radon, which has the halfway between (inaudible), so the results are pretty quickly known as far as how you are doing this. Again, it's a very inexpensive way to get a survey of that Ranch, to see if there is uranium close to the wells. It hasn't been done before. So, that's the first way that you would do exploration, so it's very cost effective versus drilling.
Operator: [Lynn Hedagart], your line is now live.
Lynn Hedagart: Yes. I'd like to know if you have any idea how much inventory is left in the Lehman Holdings.
David Clark: I probably know as much as you do. The public statement was its 500,000 pound hold for market recovery. And I have noticed in the past, when things like that are out there that if the target people know about it, if the market is weak, it can overhang the market, but it certainly a size that can be swept off of the market just like Iraq material was swept off a year ago by Cameco, so it won't overhang.
Lynn Hedagart - Private Investor: How do we know when it's sold?
David Clark: They are in bankruptcy, so it’s a question of the court and getting court permissions to sell the assets.
Operator: (Operator instructions) It appears there are no further questions at this time.
David Clark: Okay. Thank you everybody for taking the time out today. I hope that you have a great understanding of what our strategic plan is, which is, how we plan to increase our reserve base to 200 million, 300 million pounds and how intend to resolve the problems. Hopefully, it gives you a little bit better view of the big picture for developments as they come as we move through the year. Again, thank you very much and have a good one. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.